Operator: Good afternoon. Thank you for joining us today to discuss LifeMD's results for the second quarter ended June 30, 2025. Joining the call today are Justin Schreiber, Chairman and Chief Executive Officer; and Marc Benathen, Chief Financial Officer. Following management's prepared remarks, we will open the call for question-and-answer session. Before we begin, I would like to remind everyone that during this call, the company will make a number of forward-looking statements, which are subject to numerous risks and uncertainties that may cause actual results to differ materially from those projected. These risks and uncertainties are described in the company's 10-K and 10-Q filings and within other filings that LifeMD may make with the SEC from time to time. Forward-looking statements made during this call are based on current information available to the company as of today, August 5, 2025. The company assumes no obligation to update or revise any forward-looking statements after today's call, except as required by law. Also, please note that the management will be discussing certain non-GAAP financial measures that the company believes are important in evaluating LifeMD's performance. Details on the relationship between these non-GAAP measures to the most comparable GAAP measures and reconciliations thereof can be found in the press release issued earlier today. Finally, I would like to remind everyone that today's call is being recorded and will be available for replay in the Investor Relations section of the company's website. Now I'd like to turn the call over to LifeMD's CEO, Justin Schreiber. Please go ahead.
Justin Schreiber: Thank you, and good afternoon, everyone. After the market closed, we issued a news release announcing our second quarter financial results and posted an updated corporate presentation on our website at ir.lifemd.com. LifeMD made tremendous progress executing on our strategic plan in the second quarter. Our core telehealth business continued to deliver a strong performance, demonstrated by a 30% year-over-year increase in telehealth revenue and adjusted EBITDA growth of 560%. Our weight management program continued its momentum despite a large transition to branded GLP-1 medications. And our WorkSimpli business also continued to perform strongly, generating nearly $3.7 million in adjusted EBITDA on a stand-alone basis. As we look to the second half of the year, we remain focused on several key strategic priorities: one, continuing to grow our leading care-based weight management program, emphasizing patient experience and helping our patients access both branded and genericized GLP-1 therapies as well as oral non-GLP-1 prescription weight loss therapies. Two, returning our RexMD brand to double-digit growth by scaling our HRT peptide, prescription weight management and personalized ED and hair loss treatment programs. Three, scaling our recently launched behavioral health offering and upcoming women's health program, both of which we see as opportunities that address large underserved markets. Four, further expanding and investing in our LifeMD+ membership service and marketplace to drive deeper patient engagement, enhanced retention and improved health outcomes. And five, executing on additional enterprise partnerships and collaborations designed to introduce significant new patient volume into our LifeMD+ and specialty care programs. Our weight management business remains robust, consistently attracting over 400 new patient sign-ups per day. Notably, we've seen a significant increase in patients accessing branded therapy options through our platform. Given current trends and the improvements we expect to see in pricing and insurance coverage, we expect that by year-end, the vast majority of new patients will be on an insurance covered GLP-1 therapy, an affordable cash-based therapy or one of our oral prescription therapies for weight loss. We continue to invest in improving the care platform that supports our weight management program. This decision is validated by the fact that we are seeing a growing number of weight management patients using our platform to access non-weight-related health care services and products. While our weight management segment did outperform our second quarter guidance plan for this segment, weight management has been impacted by a higher-than-anticipated refund rate driven by patients either lacking insurance coverage for their medications or being unable to afford the out-of-pocket cost of branded therapies. Although this is a near-term headwind, we are actively enhancing our new patient intake process to include real-time benefit verification and other key improvements. These updates are designed to significantly improve the patient experience and drive higher conversion rates on to therapy. As part of these efforts, we are expanding access to a broader range of oral generic weight loss medications and adding liraglutide as a covered option. We remain highly confident in the long-term opportunity within prescription weight management. This is a large and underserved market, and we believe the steps we're taking will further strengthen our leadership position despite the temporary challenges. Turning to Rex. We experienced a challenging second quarter, primarily due to temporarily elevated customer acquisition costs in the highly competitive ED market. However, we have since adjusted our marketing and product strategies and early third quarter data suggests a return to healthier customer acquisition levels. We remain confident in RexMD's long-term growth trajectory, especially as we continue to broaden our offerings into hormone replacement therapy, personalized compounded treatments for ED and hair loss as well as additional men's health categories. While these offerings are still small relative to the size of the overall brand, early learnings from these new areas have been encouraging, and we believe that they have the potential to contribute meaningful growth in future quarters. In the same vein, we're especially excited about LifeMD's ongoing platform diversification into high-value clinical areas. Our recent launch of a nationwide behavioral health offering focused on adult anxiety and depression directly addresses significant unmet patient needs and is highly complementary to our existing offerings, including our recently launched LifeMD+ primary care membership. The mental health market is a large opportunity as about 23% of U.S. adults have a diagnosable mental health condition each year and only half of these people receive professional treatment. That leaves an estimated 28 million to 30 million adults with unmet behavioral health needs every single year. LifeMD's platform and affiliate provider group is well positioned to help address this enormous unmet clinical need. We expect this business line to begin scaling in Q4 and become accretive to 2026 results. Similarly, the upcoming launch of our holistic women's health program will address critical care gaps related to menopause, hormone therapy and bone health, areas historically underserved in traditional health care. Currently, we operate a profitable concierge women's health service through Optimal Human Health, which we acquired in the second quarter. We look forward to tapping into the significant market opportunity with a more affordable and scalable program on the LifeMD platform that is expected to be launched at the end of Q3. We believe the market fundamentals here are compelling as over 50 million women in the U.S. are aged 45 or older, with more than 30 million in perimenopausal or postmenopausal stages. Approximately 2 million U.S. women reach menopause annually. And by 2030, over 60 million women in the U.S. will be postmenopausal. The care gaps are substantial. Approximately 60% to 80% of perimenopausal and menopausal women fail to receive adequate care for their symptoms. Additionally, up to 70% of women at high risk for osteoporosis remain untreated, representing a significant gap in screening and intervention. LifeMD's clinical capabilities following the Optimal Human Health acquisition, along with our fully integrated telehealth platform uniquely position us to capture a meaningful share in this large, growing and historically underserved care market. This program will begin scaling in the fourth quarter, and we expect it to be accretive to 2026 results. Before I hand it over to Marc, I want to briefly highlight our clear vision for long-term margin expansion, which is fundamental to LifeMD's continued growth. Conventional health care still struggles with persistent issues like repetitive paperwork, fragmented records and inefficient processes, challenges that frustrate both patients and providers. At LifeMD, we're directly addressing these pain points by thoughtfully integrating AI into every aspect of our operations. Our goal is simple. Free up our providers from administrative tasks so they can focus on patient care and create a smoother, more efficient patient experience. By streamlining routine tasks, intelligently routing patient requests and surfacing essential information exactly when it's needed, we're improving patient outcomes, provider productivity and ultimately driving our overall business performance. We're equally excited about our recently launched LifeMD+ membership program, a premium offering designed to provide personalized patient care through around-the-clock access to licensed practitioners, same-day prescription renewals, comprehensive lab testing and numerous additional benefits. Although LifeMD+ is still in its early stages, we've already seen promising traction with nearly 50 new patient sign-ups per day. We believe this program will be central to deepening long-term patient relationships, boosting retention and making preventative care, including annual wellness visits, lab tests and medication adherence as simple, convenient and affordable as possible. Together, the strategic integration of AI and continued investment in LifeMD+ position us strongly for sustainable profitability and long-term growth. With that, I'll now turn the call over to our CFO, Marc Benathen, to provide more detail on our second quarter financial results and outlook. Marc?
Marc Benathen: Thank you, Justin, and good afternoon, everyone. As Justin noted, our long-term financial outlook remains strong. Weight management, though experiencing some impact from higher refund rates from patients without coverage or for whom discounted cash pay pricing is still inaccessible, performed ahead of guidance plan in the second quarter. New subscribers for weight management continued at strong levels and regularly exceeded 400 new patient sign-ups per day. WorkSimpli maintained its strong bottom line performance with quarterly adjusted EBITDA of nearly $3.7 million on a stand-alone basis. Our quarterly results were mostly impacted by temporary performance challenges impacting our RexMD business, which are largely behind us. Looking at the numbers, consolidated revenue grew 23% versus the year ago period to $62.2 million. Telehealth revenue increased 30% to $48.6 million, with stand-alone adjusted EBITDA growing 560% to $3.4 million. WorkSimpli adjusted EBITDA grew 119% to $3.7 million. Telehealth subscriber growth remained strong with the number of active subscribers increasing 16% year-over-year to over 297,000 at quarter end. The number of WorkSimpli active subscribers contracted by 6% to 149,000, primarily due to their continued focus on acquiring higher LTV customers to maximize profitability. Gross margin for the second quarter was 88%, a decline of 210 basis points versus the prior year due to a higher allocation rate of physician costs to COGS driven by higher utilization. Gross profit was $54.5 million, an increase of 19% from the year ago period. Our GAAP net loss attributable to common stockholders for the second quarter of 2025 was $2.9 million or a loss of $0.06 per share. This compares with a GAAP net loss attributable to common stockholders for the second quarter of 2024 of $7.7 million or a loss of $0.19 per share. Adjusted EBITDA is a non-GAAP measure we define as income or loss attributable to common shareholders before various items as outlined in today's news release. Adjusted EBITDA totaled $7.1 million for the second quarter of 2025 as compared with $2.2 million in the year ago period. Telehealth adjusted EBITDA is a non-GAAP measure defined as adjusted EBITDA for only our telehealth business, excluding WorkSimpli. This measure was $3.4 million for the second quarter of 2025 as compared to $0.5 million in the year ago period. We exited the quarter with $36.2 million in cash and strengthened our balance sheet by fully repaying our senior venture debt subsequent to quarter end. This early retirement of our debt will save LifeMD approximately $1.1 million of cumulative future interest payments, makes our business debt-free and reflects the ongoing confidence we have in our long-term outlook. Turning to financial guidance. We are revising our consolidated 2025 revenue guidance to be in the range of $250 million to $255 million from $268 million to $275 million previously. Telehealth stand-alone revenue guidance is now $195 million to $200 million compared with $208 million to $213 million. We're also revising our consolidated adjusted EBITDA guidance to be in the range of $27 million to $29 million from $31 million to $33 million previously. We now expect 2025 telehealth stand-alone adjusted EBITDA guidance to be between $14 million and $16 million compared with $21 million previously. Updated adjusted EBITDA guidance still reflects a year-over-year increase of 89% to 116% versus prior year. This wraps up our financial results. I'd now like to turn the call back over to Justin.
Justin Schreiber: Thanks, Marc. Before we open up for Q&A, I'd like to quickly revisit the second quarter. While we weren't satisfied with our overall performance, we believe these short-term issues are largely behind us and remain extremely confident in RexMD's long-term growth potential and a strategic role within LifeMD's broader platform. The strategic initiatives we laid out at the start of 2025 continue to deliver meaningful results across all areas of our business. We've made tremendous strides in expanding and enhancing our comprehensive telehealth offerings, reinforcing our platform's capabilities and elevating patient experience at every step. Our patient satisfaction scores remain outstanding, averaging 4.91 out of 5, validating the quality and effectiveness of our care model. We continue to expand and diversify our weight management offering and our recent strategic expansions into women's health and behavioral health represent significant steps forward, addressing large historically underserved patient populations with high-quality virtual care. These offerings, combined with our increasingly robust LifeMD+ membership program set the stage for meaningful patient retention, higher engagement and lasting relationships that will drive margin expansion and overall business performance. Looking ahead, our priorities remain clear. We will continue investing in and scaling high-value clinical areas like behavioral and women's health further optimize and expand our LifeMD+ program and leverage our fully integrated pharmacy and insurance capabilities. All of these efforts align with our overarching commitment to deliver the most patient-centric comprehensive and seamless health care experiences available anywhere. LifeMD is uniquely positioned to shape the future of health care, and I'm excited about the path ahead as we continue to deliver outstanding care, strong growth and long-term value for both our patients and shareholders. With that, let's now open the call to your questions. Operator?
Operator: [Operator Instructions] We'll take our first question from David Larsen from BTIG.
Jenny Shen: This is Jenny Shen on for Dave. Just on the insurance business, can you speak more about the insurance opportunity where you are right now? For example, how many states you're in? What portions of members are you taking insurance for? And what does the margin profile look like for those members compared to cash pay?
Justin Schreiber: Jenny, this is Justin. So as of today, we are contracted with over 100 insurance plans across 40 states. We have just under 80 million lives under coverage. And importantly, like I expect, as we've previously guided, that to double between now and the end of the year. It's still a very small percentage of the business. It's really important, I think, that we reach kind of -- that we have extremely broad coverage before like we can really run direct-to-patient kind of advertising for these offerings. So I really think you're going to start to see the insurance business scale considerably in '26. One thing that's worth pointing out, though, is we have seen -- we have obviously submitted claims across both commercial to commercial payers and the government payers, Medicare. And the unit economics here are strong, and we're actually like really, really encouraged about launching programs, especially in areas like women's health, also in the weight management vertical once we see broader coverage for GLP-1 medications, the unit economics work. And it can be -- we can see better LTVs with insurance-sponsored patients than we do with cash pay patients. So to be clear, like we're not -- we haven't scaled it today. And so although we've seen that with a very small population. But the data that we've seen, both from claims we've submitted and from kind of third parties and peers that we've looked at, like the unit economics can be very, very strong.
Jenny Shen: Sounds great. And then just a quick follow-up. Any comments on your relationships with Novo and Lilly? We're assuming that those relationships are still strong.
Justin Schreiber: Yes. No comment. I mean those -- again, the integrations with Lilly Direct and NovoCare are in place, and we're continuing to see a greater number of patients access the self-pay branded therapies that are through those pharmacies that are available through the integrations that LifeMD has.
Operator: And we'll take our next question from Sarah James with Cantor Fitzgerald.
Sarah Elizabeth James: I was hoping you could give a little bit more color on what was going on with the rep customer acquisition costs. So looking at the guide change compared to what revenue had been running at, we're getting it was about 5% of revenue. Is that in the ballpark of what the step-up in customer acquisition cost was for that segment? And can you explain a little bit more about how that happened? Was that pricing? Or was it just the sales that converted from the leads changing?
Marc Benathen: Yes. So this is Marc. No. I mean, in general, we had -- it bounced around a bit throughout the quarter. We had some periods where CACs were up 15% to 25% sequentially over the prior quarter. Obviously, we had some other periods during the quarter where it was 5% up. Obviously, when CACs go up by that amount, we're going to pull back on the amount of volume that we drive through that business. And one of the initiatives that we're really working on and we're going to make -- we started to make a lot of headway on, and we're going to make a lot more headway by the end of the year is continuing to diversify the business, which obviously gives us a lot more places to repurpose that capital should you see temporary disruptions in certain markets like what occurred in the Rex market, particularly within ED. But a lot of it was higher CACs, competitive spending that in turn drove down our volumes, which in turn obviously had because the unit economics would erode at some of those CACs. And in turn, that would have an impact on both acquisition revenue and related subscription revenue from those subscribers.
Sarah Elizabeth James: Got it. And when you think about results going forward, do you mean that you're having tighter control on your acquisition spend? Or is it more that you think that the sales that are generated from that are going to go back to historical levels?
Marc Benathen: Yes. I mean, look, we've under -- I don't want to get into the exact sort of competitive specifics, but we've essentially seen through some actions that we took improvements in the acquisitions per day that are not quite at the Q4, Q1 levels, but they're very much approaching there, and they're significantly closer. And the CACs have returned to the historical levels also, again, through some proactive actions that we took. There were changes in the market, and we just had to readjust what we were doing. Could we have been a bit faster doing that? Yes. But we did adjust, and I think we're in a good place now.
Justin Schreiber: Sarah, this is Justin. I'll just add, like remember, we had a -- we had an enormous transition, right, this past quarter with the weight management business, which just really required a lot of energy from almost everybody in the organization. And some of the -- we did see -- we obviously saw these changes. In the competitive environment, but some of it was just think we took our eye off the ball for a little bit, and it's -- we should have gotten this thing back online a little quicker, and we didn't. But again, as we try to -- as we communicated in the -- on the call earlier, like we feel really good about where the business is. There's a lot of exciting kind of new product opportunities for RexMD and we really want to communicate that this isn't something that we're going to -- we think we -- people should be concerned about going forward.
Operator: And next, we're going to go to Ryan Meyers with Lake Street Capital Markets.
Ryan Robert Meyers: Just kind of as a follow-up to the last question. I just want to make sure I fully understand it. So the full year guide down, that's totally related to the dynamics faced with the RexMD business despite the fact that you guys now have that resolved. Just want to get an understanding of any impact that we would see from that in Q3 and then more recently in Q4.
Marc Benathen: Yes. So the majority of it is related to that. There's a small proportion, as you mentioned, in the short term, there's some higher refund rates on the weight management patients. We're talking a few percentage points higher. That was a small proportion of the changes, which we've built into the Q2 and Q3 -- sorry, the Q3 guide. But the vast majority of it was the impact from performance in Rex in Q2 and then the downstream impact associated with less new subscribers that came in the door in Q2, retaining those people throughout the year and slightly softer sales performance than we had historically seen. Obviously, we're building back. But I'd say right now in terms of sales per day, we're at about 85% to 90% of where we've been historically, which is a big improvement over where we had been in the middle of Q2. But all of that is baked into the guidance. Now we've not assumed any potential complete rebound in Rex within that guidance. So we think we've taken a prudent point of view on that.
Ryan Robert Meyers: Okay. Got it. And then just on the topic of the LifeMD+ offering, any way we should be thinking about sort of marketing and any sort of spend that's associated with that as that continues to become larger and you guys put more kind of emphasis on that business?
Marc Benathen: Yes. This is Marc. Look, we have all of that baked into our plan. I mean, historically, as we've said, our marketing spend does tend to go up quarter-on-quarter. That was baked into the back half of the year. I mean, do any of these businesses require a very significant investment? No, but you do have to make the initial investment. And look, today, we're bringing on about 50 new sign-ups there. Obviously, we'd like to scale that significantly higher, but we're going to end up doing it in a measured fashion as we do with a lot of our new launches to balance profitability with the growth of the company.
Operator: And we'll next go to Anderson Schock with B. Riley Securities.
Anderson Schock: Could you provide any color on what percentage of patients with insurance coming in for GLP-1s are being approved for coverage?
Justin Schreiber: We don't have an actual percentage, Anderson. But I mean, again, like I can emphasize that we're seeing really, really great uptake and especially like a lot of the cash pay programs of Zepbound -- I'm sorry, Wegovy -- I'm sorry, Zepbound being the kind of #1 performer and then Wegovy also performing really well. And one of the things that we mentioned in the script is I'm actually super confident that by the end of the year, I think we'll probably see -- I think it's safe to say that we'll see 75% of new patients either on an insurance covered GLP-1 medication like Wegovy or Zepbound or paying for one of the kind of self-pay products there. So it's been like performing really, really well. We're also launching more of the kind of oral -- generic oral therapy options. So we think that, that probably can be somewhere between at least 10% and 20% of the business based on what we've seen with peers of ours in the virtual care world.
Anderson Schock: Okay. Got it. That's helpful. And then could you provide an update on the recent launch in behavioral health? I guess, how many initial subscribers have you seen? And how should we think about revenue contribution from this launch in the back half of the year?
Justin Schreiber: Yes. I mean this is Justin again. So look, we've put a lot of work into getting this live. It's currently live across all 50 states. I don't have -- we're not ready to release like an exact patient number, but we are onboarding patients onto the program every day. The way these things typically work is over the first couple of months when we launch one, it's all about testing and kind of working out not kinks at all in the care, but more kinks in like the intake process and just making sure everything is working smoothly, making adjustments and then it comes down to scale. So we're really -- right now, it's definitely not -- it's not scaling per se, but we're really, really bullish on this, and it's something that we're extremely confident is going to start to scale over the next 30, 60 days.
Anderson Schock: Okay. Got it. And then how is the initial launch of your Medicare fee-for-service initiative progressed since April? Have you been able to expand as expected, reaching 49 states and 60 million beneficiaries at the end of the second quarter?
Justin Schreiber: So we're still on track to expand this to 49 states by the end of the year. We had to rework some structural things with the medical group over the course of the last like 90 days. So we haven't started to scale the Medicare program yet, but it's something that we expect will scale in the back half of this year.
Operator: And we'll next go to Steven Dechert with KeyBanc.
Steven Craig Dechert: I guess just curious on what the refund rate policy is with your customers? And then just anything that drove that to be higher in the quarter? Did anything have to do with de Novo or Lilly partnerships?
Justin Schreiber: Sorry, you were kind of breaking up a little bit there, Steven. Can you just repeat the -- I heard the first part of your question on refund rate and refund policy. But what was the second one?
Steven Craig Dechert: Just is any of that tied to the Novo or Lilly partnerships with those going into effect this past quarter?
Justin Schreiber: Yes, sure. So I mean, our refund policy is extremely liberal. I mean if a patient comes in and doesn't get treatment or doesn't have insurance coverage, doesn't want to pay for a cash pay therapy, they basically get a refund, right? Some patients will pay. I mean, technically, according to the policy, like if they have a consult, they would pay -- they would need to pay for the consult. But in reality, if somebody wants a refund, they get a refund, and they get a full refund. So that's the policy. Look, I don't think that -- certainly, like the collaborations with Lilly and Novo have not -- I mean, the collaborations with those pharmacies have not had a direct -- have not had a direct effect on the refund rate. But I mean, what does have an effect on the refund rate is just the fact that for a lot of patients, right, the self-pay drugs are branded drugs are much more expensive, right? So patients are faced with oftentimes getting a $500 a month branded therapy through LifeMD or they can go -- there's another 100 providers out there that are still offering a $100 to $150 per month compounded semaglutide or tirzepatide product. And we look, we appreciate that -- look, the bottom line is like there still is not a reduction in the number of competitors out there selling exact replicas of tirzepatide and semaglutide. So that, as you can imagine, like we have a lot of patients that come in and if they don't have insurance coverage and we can't submit a prior auth and get them covered for a medication. Many of them do request to refund and go elsewhere and find a cheaper alternative of the medication.
Steven Craig Dechert: Okay. And then just wondering on personalized GLP-1s. Is that still something you guys are offering? And if so, kind of what roughly percentage of your weight management subscriber base is on those?
Justin Schreiber: Yes. I don't have an exact percentage to share with you, but certain patients that qualify for a personalized GLP-1, again, like our providers are willing to send prescriptions to third-party pharmacies for personalized GLP-1 medications if the clinical presentation of the patient is appropriate, right? So I think we're very -- our providers are very conservative with this. But in certain situations, yes, our providers will send personalized prescriptions to third-party pharmacies.
Operator: And next, we'll go to Yi Chen with H.C. Wainwright.
Unidentified Analyst: This is [indiscernible] on for Yi. I was hoping to get a little bit more color on the -- to get a feel for the number of subscribers that are currently using the weight management versus the telehealth active subscriber count and see what fraction of users using each of those business segments?
Marc Benathen: Yes. Yes. I mean, look, we haven't historically broken it out. But in general, the weight management subscriber count as a percentage of the active is roughly kind of in that range of 30% to 35% of the total. And then obviously, the largest proportion is within Rex. Obviously, the average weight management customer is worth more on a 1- year basis than the average Rex customer. And then you have other indications a rounded out sleep, hair loss and things like that.
Unidentified Analyst: Got it. That's really helpful. And do you -- are you guys open to providing any numbers on the attrition rates in each of those kind of to understand what retention looks like in each of those business segments?
Marc Benathen: Yes. I mean, look, what we've disclosed publicly is typically, we retain about 1/3 of cohorts after 12 months. I mean, look, we have 1, 3, 6 months. In some cases, we've had 12-month subscriptions. So we try to normalize it at the 1-year mark. But historically, we will retain about 1/3 of the initial cohort at the end of 12 months. Obviously, in the weight management business, a big chunk of that falloff occurs in the first 30 days with refunds for people that don't actually get on therapy. If you go by the folks that are on therapy, the retention rate is obviously much higher.
Unidentified Analyst: Got it. Got it. And in general, you've mentioned a few times about your focus and prioritization of getting good insurance coverage for your patients and connecting that into your system. Do you think that's your most meaningful differentiating feature for -- against other telehealth competitors?
Justin Schreiber: Sure. This is Justin. I think that -- look, I think that's certainly one of our -- one of the big differentiators with LifeMD is the infrastructure for medical and pharmacy benefits that we're building. I think it's also our ability to operate a high-quality synchronous care platform across all 50 states at the scale that we do. If you look across a lot of the larger peers of ours, many of them are completely async programs, and that's kind of a very different offering. So I think that we think that our model of offering medical and pharmacy benefits, offering a marketplace that -- where patients can use their insurance if they want to or their Medicare and subsidize the cost of their care and access like either, again, asynchronous care if it's more convenient for them or synchronous care if they really want to speak to a doctor, which -- and have a face-to-face visit, which a lot of people do. We think that's super unique. And in fact, we know that's super unique.
Operator: And that concludes our Q&A portion of the call. I will now turn the call back over to Justin Schreiber.
Justin Schreiber: third quarter results in November. Have a great evening.
Operator: This does conclude today's program. Thank you for your participation. You may disconnect at any time.